Operator: Welcome to the Choice Properties Real Estate Investment Trust Fourth Quarter 2021 Earnings Conference Call. Please be advised that today's conference is being recorded. I will now to hand the conference over to your first speaker today, Doris Baughan, Senior Vice President, General Counsel and Secretary. Please go ahead.
Doris Baughan: Thank you. Good morning and welcome to Choice Properties Q4 2021 conference call. I'm joined here this morning by Rael Diamond, President and Chief Executive Officer; Mario Barrafato, Chief Financial Officer; and Ana Radic, Executive Vice President, Leasing and Operations. Before we begin today's call, I would like to remind you that by discussing our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements regarding Choice Properties ' objectives, strategies to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates, intentions, outlook, and similar statements concerning anticipated future events, results, circumstances, performance, or exceptions that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause actual results to differ material from the conclusions in these forward-looking statements. Additional information on material risks that can impact our financial results and estimates and the assumptions that remain in applying and making these statements can be found in the recently filed Q4 2021 financial statements and management discussion and analysis, which are available on our website and on SITA. I will now turn the call over to Rael.
Rael Diamond: Thank you, Doris, and good morning, everyone. Thank you for taking the time to join our fourth quarter conference call. We are pleased with our solid financial results for the quarter. Demonstrating our business model, stable tenant base, and disciplined approach to financial management continue to position us well. Additionally, we continue to advance our development pipeline and execute on our capital recycling initiatives, which provides us with exceptional opportunities to add high-quality real estate and drive net asset value growth at the time. Turning to the full-year, 2021 was a year of resilience, and we are proud of our accomplishments. In addition to our strong performance, we reinforced our commitment to sustainability and made significant advancements in our environmental, social, and governance programs. To maximize our impact, we have focused our ESG strategy on two pillars: fighting climate change and addressing social equity. In addition, we committed to steady mission targets that are in line with current climate science. In November, we integrated sustainable finance into our business with the release of our Green Financing Framework and the completion of an overall Green Bond offering. Joining me on today's call is Ana Radic, who will provide an update on our strong operational results. And then Mario Barrafato, who will provide an update on our solid financial results. I will then provide an update on our transaction activity and our development program. Ana, over to you.
Ana Radic: Thank you, Rael. And good morning everyone. As Rael mentioned, we are pleased with our operational results for the quarter, and continue to see positive signs across the portfolio. Although renewed operating restrictions were implemented in late 2021 due to the emergence of the Omicron variant, we are seeing positive leasing momentum most notably in our retail and industrial segment. Our approximately 45 million square foot retail portfolio, which consists of open-air centers with necessity-based tenants, continues to deliver stable results. Canadian retail performance in 2021, as well as other macro factors indicate that we have turned the corner in the economic recovery. Retail sales for 2021 are up 8% compared to pre-COVID levels in 2019, leading to a positive outlook for 2022. Our retail occupancy increased slightly from the prior quarter as 115 thousand square feet of new deals commenced in the quarter and 410 thousand square feet of renewals were completed, at rents 3.9% above expiring rents, resulting in tenant retention of 89%. Our neighborhood centers continued to perform exceptionally well. At the height of the pandemic, we saw few turning closures and steady demand. What we are seeing now are a variety of tenants actively looking to open new locations; with discount quick-serve restaurants, off-price fashion, home furnishings, pharmacies, pet stores and fitness operators being the most active. We are also seeing strong demand at our power centers, in the quarter we completed several new deals with home furnishing, fashion and discount retailers. Industrial fundamentals are strong and this segment will provide growth going forward, as the supply demand imbalance in most markets for distribution and logistic warehouses continues to drive record high rental rate. The GTA market availability rate remained at 0.9% unchanged from the third quarter, while national availability dropped to 1.8%, an all-time historic low. Our portfolio occupancy increased 40 basis points in the quarter, finishing at 98% occupied. We are seeing improved leasing conditions in Calgary and Halifax, having completed 75,000 square feet of new lease deals in these markets. Our Western Canadian portfolio is 95.6% leased, outperforming the market. We anticipate that Calgary will continue to tighten as it is a key distribution hub and is benefiting from the growth in logistics tenants, as well as improved economic certainty, fueling demand for spaces 10,000 square feet and under. Our 6.6 million square foot Ontario port office -- sorry -- Ontario portfolio fits at full occupancy. While we had limited industrial maturities in the quarter, we are optimistic in our ability to capitalize on strong market fundamentals to continue to grow with. We have several large blocks of distribution space expiring in 2022 that will give us the opportunity to do just that. Our industrial occupancy and NOI will decline in 2022 as we release several large blocks to new tenants. These new lease deals will be completed at significantly higher rents, resulting in higher industrial NOI in 2023. For example, we have completed a new 113,000 square foot lease deal in the GTA, with the incoming tenants lease rate exceeding that of the outgoing tenant by $7.25 per square foot, which is 120% increase over the expiring tenants rent. Office leasing momentum improved in Q4 with more tour activity and a reduction in sublease basis as tenants that delayed space planning decisions due to COVID began reentering the market. With office vacancy rates increasing across most markets in Q4, in downtown Toronto where our largest assets are located, market vacancy dropped to 20 basis points in the quarter to 9.7% and sublease availability dropped even further. Occupancy in our 3.6 million square foot office portfolio declined from 88.7% to 88.2% due to limited leasing activity taking effect in the quarter, and 18,000 square feet of negative absorption in Halifax and Montreal. That said we did see a lift in renewal spreads of approximately 4.5% on the deals that were completed in the quarter. Starting this fall, we have seen a marked increase in to our activity, with more new tenants looking to transact, and existing tenants expressing a desire to expand. Small and mid-sized tenants were most active as their space utilization did not change as compared to larger tenants. During the quarter, we completed expansions of four office tenants and five new deals in Calgary totaling 26,000 square feet at our own share taking effect in future periods. Overall, our operating results in the fourth quarter and for the year were strong, reflecting the strength and resilience of our portfolio. We are confident that the operating decisions and investments we have made will continue to deliver strong results looking ahead. I will now pass the call over to Mario to discuss our financial performance.
Mario Barrafato: Thank you, Ana, and good morning, everyone. The fourth quarter reflects our ongoing ability to deliver solid financial results. This is evident in our financial performance and by our rent collections, which were over 99% for the year, while bad debt expense was $750,000 for the quarter, our lowest provision during the pandemic. Our reported funds from operations for the fourth quarter was $174.7 million for $24.2 per unit. Included in FFO are certain non-recurring items which effectively net each other out. But they include $1.5 million early redemption premium for our series one unsecured debenture that would have matured in the first quarter of 2022, and $1.3 million of higher G&A costs primarily driven by head office lease termination payment. This was offset by income of $2.6 million related to lease termination and other revenue adjustments. Compared to prior year, our FFO for the quarter increased $3.3 million, primarily due to contractual rent steps in our retail portfolio, increased occupancy and rental rate lifts in our industrial portfolio, and a decline in bad debt expense of $1.5 million. On a per-unit diluted basis, our cue part at the FFO was , up 1.3% compared to the fourth quarter of 2020. Our period-end occupancy remained strong, increasing slightly to 97.1%, compared to 97% last quarter. With retail at a strong 97.5%, industrial at 98% and office at 88.2%. We had approximately 808,000 square feet of lease expires in the quarter, of which we renewed 734,000 square feet per retention ratio of 84% and leasing spreads of these renewals were 3.3%. We also completed a further 201,000 square feet of new leasing, resulting in overall positive absorption of 56,000 square feet for the quarter. Same asset cash NOI increased by 2.6% compared with the fourth quarter of 2020. By asset class, retail increased by 2.6%, while industrial increased by 5.5%. These increases reflect the improvements in rent collections, contractual rent steps in the retail portfolio, and positive fundamentals in the industrial portfolio. Office, the same asset cash NOI decreased 3.7% primarily due to vacancies in Ontario and Alberta, partially offset by a reduction in bad debt expense. When excluding bad debt expense, total same asset cash NOI increased by 2%. We're pleased that we've been able to maintain stable occupancy and consistency method results for five consecutive quarters. Our business continues to be supported by our industry-leading balance sheet that provides us with flexibility in the face of broader market volatility. We reported a total increase to our net asset value of a $153 million or 1.7%, marking the sixth consecutive quarter we've recognized NAP growth. Our growth was driven by fair value gains in our investment properties of $109 million, mainly attributed to strong demand fundamentals for industrial properties. We also continue to improve both our leverage ratios and our liquidity profile for the quarter. Our leverage was 40.1% at end of the fourth quarter, an improvement of 2.6% compared to 2020. Our debt to EBITDA declined to 7.2 times compared to the reported 7.6 times in the fourth quarter of 2020. Normalizing for excess cash from the timing of transactional activity in both years, debt to EBITDA declined to 7.1 times compared to 7.3 in the fourth quarter of 2020. From a liquidity perspective, we have approximately $1.6 billion in available cash, comprised of $1.5 billion of available credit on our line and $125 million in cash and cash equivalents. This is further supported by approximately $12.8 billion of unencumbered properties. As Rael mentioned, we successfully completed our inaugural green bond offering in the fourth quarter, issuing $350 million of unsecured debentures for a five-year term bearing interest at 2.46% per annum. Proceeds from this offering were used to improve our debt maturity profile by early redeeming our $300 million March 2020 debenture and repaying our credit fully. The pricing on this transaction is a testament to our strong credit, with the spread representing the lowest five-year Canadian REITs bet on record. Pricing also reflected a 7 basis point  relative to our bonds for trading on the secondary  launch. In addition to strengthening our debt profile, we continue to improve the overall quality of our portfolio through capital recycling. Late in the quarter, we successfully and optimistically sold $230 million of income producing properties deemed non-strategic to our core portfolio, while acquiring $40 million in properties. For the year, we divested $330 million of properties and reinvested the proceeds into $240 million of high-quality properties, with either stronger fundamentals or development potential. Rael will provide more color on the Q4 transaction shortly. In addition to acquisitions, we continue to add high-quality properties through our development program. We end the year with development spending totaling a $135 million. Completions for the year were roughly double this number at $255 million adding 428,000 square feet of GLA to our portfolio, and 324 residential units at Brixton in Liberty House in Toronto. So, overall, we are pleased with our quarterly and annual performance. We continued to deliver stable and resilient operating results, while driving net asset value through development and capital recycling. All of this supported by a conservative and flexible balance sheets. I will now turn the call over to Rael to address our development and investment activities.
Rael Diamond: Thank you, Mario. Looking back at 2021, we made significant progress on both our development program and transaction activities. We completed approximately $570 million in total transactions and meaningfully advanced industrial development pipelines and future residential pipelines. During the year, we completed and transferred 10 projects at a total investment costs of approximately $250 million, delivering 145,000 square feet of commercial space and 394 residential units. Turning to the quarter, we completed $46 million of acquisitions and $230 million of dispositions. On acquisitions front, we completed the purchase of 550 Eglinton Avenue from a third-party. This high performing Shoppers Drug Mart is located in a desirable midtown north of Toronto, providing excellent long-term redevelopment potential adjacent to our future train station on the Eglinton LRT line.  line. We also closed on the vendor from Loblaw of a standalone grocery store in Guelph, one of the fastest growing cities in Ontario. Finally, we continue to assemble land with a future industrial development potential at our Calvin side, and in approximately 16 acres to the 300 net acres acquired during Q1. This was completed in attractive pricing per acre consistent with the original acquisition. Our development partner is currently working through the rezoning approval process with the town of Calvin to permit a total of approximately 5 million square feet of industrial space. As Mario mentioned, we remain active on the disposition front and during the quarter, opportunistically sold approximately 230 million on non-core assets and underutilized land. These dispositions speak to the demand from investors for assets. And we successfully transacted on the assets at pricing above our book value on each of them. On the industrial front, we capitalize on the market by selling a portfolio of five older generation assets for $45 million in Calgary with operational challenges. And on the retail side, we sold six assets across the country for total proceeds of approximately $172 million. On the development front, during the quarter, we transferred two residential projects to income producing properties, including Liberty House and the third and final phase of the Brixton, for a total development cost of approximately 108 million. Liberty House is at the entrance to Liberty Village and is now 30% leased, and we expect stabilization on the second quarter of 2023. Brixton is located in downtown Toronto, in the Dufferin and Queen intersection and is approximately 75% leased; and we expect stabilization in the second half of this year. Subsequent to the quarter, we purchased our development partner share in each of these efforts, increasing our total ownership to 50%. We also recently received permits on our industrial development in South Service. This new generation logistics facility will target LEED Silver certification and is  with the contractor already mobilized on-site. When complete, the center will add approximately 350,000 square feet to our growing industrial portfolio. Looking ahead, we have 11 projects representing over 10.5 million square feet in different stages of the rezoning and planning process. We believe we have one of the best long-term development pipelines in the REIT space that will drive significant long-term net asset value appreciation. With that, I would like to turn the call back to the operator for questions.
Operator:  Please stand by while we compile the Q&A roster. Your first question is from Sam Damiani with TD Securities.
Sam Damiani: Thanks and good morning, everyone. Just wanted to start off on, I guess, where you ended off on Rael, which is the value of these significant sites that Choices had for years, most of them near or adjacent to mass transit. How do you think about the fair valuing of those properties today versus a few years ago and how you're you thinking we should think about how that might be for the next couple of years?
Mario Barrafato: I'll take that one. There's two ways, right now in our financials, their value is just at their income producing capability today. We tend to value our properties or increase their values based on milestones when we have visibility. And so right now, I think there's probably -- there's value there, but it's just not reflected in our financials. And as we advance to pursue construction, as we pursued zoning, as we prefer leasing, you'll see that pop. And I guess  is a good example of where there's a store right now, and as we advance that and as we have more, I guess, validation of the value, then we will see that come through our financial statements.
Sam Damiani: Is that something, Mario, you think might occur within the next one to two years, based on your framework figure got in mind right now?
Mario Barrafato: I think it will happen gradually, Sam, and there will be milestones I believe next year. But it's -- you don't get that popping or are you going to -- it's going to be gradual over the life of the development.
Sam Damiani: Okay. Rael, just on the disposition activity, I wonder if you could just get into a little bit of detail on the rationale for a couple of the properties that were sold, putting the retail and the industrial loading Calgary.
Rael Diamond: Yeah. Sam, so it's all on the industrial bit. The industrial was older generation industrial, not typical industrial. And from our point of view, it had leasing challenges, it didn't have the right type of doors, access, etc. and in some -- in fact, some of the tenants were typical industrial users. On the retail side, truthfully, we always look to clean up or sell week assets in our portfolio that we view as nonstrategic. As an example, we sold a large power center in Quebec City that had tenants that we view may be at longer-term risk. So we were able to recycle that capital into better long-term growth assets, such as the industrial we've spoken about this year.
Sam Damiani: Last one for me would just be on the two residential properties that were completed last year and you increase your ownership stakes. Is there anything you could share with us to the pricing on those increased stakes relative to cost or help us determine?
Rael Diamond:  was done, it was a negotiated process  a fair amount of value. It was purchased at between $900 and $1000 a foot, which would translate to around 3.5 cap rates. And I don't remember the exact cost per foot, Sam, but I think our cost per foot was closer to -- between $600 and $700 all-in. But I don't remember the exact number of that. But we remember we started these projects about three years ago, so we get benefit, obviously, from locking and processing early.
Sam Damiani: Great. Thank you. I'll turn it back.
Operator: Your next question is from Sumayya Syed with CIBC.
Sumayya Syed: Good morning. I just wanted to touch on the two residential assets that got moved to income produced in the quarter and if there was any NOI contribution from those. And if not, how do you see that stabilizing?
Mario Barrafato: There would have been some very small, I think, in the quarter. But as Rael said, Brixton will stabilize this year, Liberty House next year. So there will be NOI. But again, given the size of the projects relative portfolio, I think right now it won't have that meaningful impact on total NOI.
Sumayya Syed: Okay. And then just moving on to rent collections, obviously very strong, but just the portion that's been deferred and outstanding, when do you expect to recover that, if it's going to be within 2022 or anything spilling over into '23?
Ana Radic: Hi, Sumayya. The majority of our deferral agreements with tenants are with repayment over 2022, that would be the vast majority, I would say 95 -- 90%. And then there are some with very large credit-worthy tenants that we did agreed to extend the deferral into 2023. But again, those would only be with our very large tenants.
Sumayya Syed: Okay. Thank you. And you mentioned that you're seeing an improvement on the office side in terms of activity. Can you show what you're seeing in terms of rents and lease terms that you have these dialogues with tenants?
Ana Radic: Rents are holding up very well. We've recorded -- our spreads on office rent this quarter were 4.5%, and we are really seeing a marked drop in rents and there's still rental rate growth relative to deals that were entered into five years ago. So I think rents are holding up very well. And then in terms of activity, we're seeing good activity. As I said, from smaller and midsize tenants particularly.
Sumayya Syed: Okay, thanks. That's it for me. Thank you.
Operator: Your next question is from Himanshu Gupta with Scotiabank.
Himanshu Gupta: Thank you and good morning. So in industrial portfolio, you're expecting some reduction in occupancy and sort of the expiries coming due in 2022, and then obviously see recovery next year. So how should we think about the same asset NOI growth in 2022 in the segment?
Mario Barrafato: Hey, Himanshu. Right now, again I said things are very positive and absent the industrial vacancies we would we be expecting CNS NOI growth of slightly over 2%. But because of those vacancies, that it will be probably close to 1.5 overall. But we expect retail to be at around 2. The industrial because of those vacancies will be probably flat or slightly negative. And then I said, when those leases renewed or renewing at rents that could be 80% to 100% higher. So the following year, I think the seeds are planted really for stronger NOI growth. Again close to that 2, 2.5, but next year be muted a bit.
Himanshu Gupta: Got it. So the big recovery in the industry will be 2023, and probably year 2022 would be a bit muted. All right, and then, Mario, you also mentioned retail at 2%. So if I look at the retail occupancy, it's still slightly below  levels. So are you baking in some occupancy gains as well in your 2% estimate?
Mario Barrafato: Slightly yes. So we see -- so we are at about 97.5 our retails there right now. And we see a bit of occupancy gain. It may get back on the office side. But the most positive thing is that we are seeing some rental rate growth again. And that's really -- that will be the driver of NOI growth.
Himanshu Gupta: Got it. Okay. That's helpful, thank you. And then just sticking to the industrial side, if I look at the IFRS, GAAP rate, industrial portfolio is mounded like 5.33 GAAP rate. Do you think there is scope for the GAAP rate to come down, especially in the context of the recent transactions we're seeing in the market?
Mario Barrafato: Yes, we do. We've been writing it up every quarter because, again, for the process internally, we try be to be disciplined, have third-party data. And every quarter, there's new data, there's new information on rents, and there's new information on transactions. And we do think there's value. They're both in the stabilized industrial and especially in the development .
Himanshu Gupta: Okay. And then, in industrial, you sold those non-core  the generation in assets in Calgary, that's $45 million. Are there more of these? Do you think will be eligible for capital recycling this year?
Rael Diamond: I'm not sure this year, Himanshu. But there are a few assets, but nothing material that we view as non-core.
Himanshu Gupta: Okay. You're sticking into capital recycling. I mean, the caution is capital allocation. I mean, are we likely to see more disposition in general to support development and investment activities? And that's been the playbook so far. Are you prepared to keep our leverage in different levels on new capital recycling?
Mario Barrafato: Yes. I mentioned we've sold, I would say the last three years, probably over $11 billion maybe or north of a billion. So we really believe that this is just part of our business model is. There's always opportunities to be able to take money at a certain properties and get into other properties. So I think it's going to be there. Right now we've been really just reinvesting into asset and we're setting our balance sheet up so we have to get into the mix users. We're not going to put stress on our balance sheet. So right now, our leverage adjusted for cash at 7.1 times and we think that will give us a lot of buffer to the next day of our develop programs. So we will be selling assets for probably just upgrade quality, and not necessarily paying down debt.
Himanshu Gupta: Got it. Okay. Thank you. And my last question is on the residential development. I'm looking at Mount Pleasant Village in Brampton. The  like mid-4, I think, a bit slightly lower than the Liberty House of over 5%. So are you beginning to see any cost pressures or construction costs mainly escalating on you? Any color there?
Rael Diamond: No, we're not expecting any real cost pressures on that development. And the reason it's likely lower than the others, in fact, they use a condo component that is small. The condo sales outperformed our original pro forma. So just this quarter, we actually broke out the components of condo versus the income components. And then finally, what is bringing down the yield a little bit is we've elected to do some affordable units. And just from a long-term perspective, we're very bullish on the property a smart adjacent to a go station, and we're still.
Himanshu Gupta: Is that a requirement from the city or from a public perspective to include some affordable component or is it something you were doing on your voluntary basis?
Rael Diamond: It's something that us and our partner, Daniels, chose to do.
Himanshu Gupta: Okay. Thank you, guys. That's the all from my side. Thank you. I'm turning back.
Operator: The next question is from Tal Woolley with National Bank Financial.
Tal Woolley: Hi. Good morning, everybody.
Rael Diamond: Morning.
Tal Woolley: We've heard from your peers ' conference calls to the idea of that now that things have opened up a little bit more, you're seeing more interest in touring retail space, more prospects out there. And I recognize it's a difficult question to answer, but do you realize then that this is a bit of a rush of activity, just that people are out back, getting back into the senior things? Or do you think there's a stable level of interest that you're going to see over the long call.
Ana Radic: I think our interest has been quite strong throughout and that I think stems from the fact that our portfolio is predominantly grocery-anchored and service-based retail. And so I think more tenants are looking to locate with a strong grocery anchors, so that definitely benefited us. And I would say that with the rest -- in terms of our power centers and so forth, that's where we're really seeing renewed optimism and a fundamental belief that having a bricks-and-mortar location is really important from an overall retail strategy. That omnichannel approach, it's proving to be what tenants are really anchoring to, and you see that even with Amazon opening a bricks-and-mortar location. So I don't know if it's -- I think this is something that's sustained. It's going to be sustained.
Tal Woolley: Okay. And then just on the office portfolio, we're thinking about -- or let me ask the question a different way. What is your base case for when you expect some of the occupancy belief to stop? When are you thinking that you're -- where you're going to hit that moment?
Ana Radic: So retail are the market or?
Tal Woolley: You're in the -- within the office portfolio. What's your time frame for when you think, because obviously some of this is pandemic related, and some of it -- maybe it's cyclical. I don't know how you're thinking about it. But will -- when you see the occupancy believe in office stop?
Ana Radic: Okay. Got it.
Rael Diamond: Look, I think, Tal, the first thing is yet to separate our portfolio between Alberta and the rest of the country. And Alberta has really dragged us down significantly, has been a very challenging market. And the pickup that Ana spoke about, we all see in all other markets across the country. And we have positioned on previous quarters that there was upcoming vacancy that we knew about in our portfolio. And you are seeing that in Toronto but there was vacancy that we knew about pre -pandemic. And we're very bullish by the increase in activity that we've seen recently. And when executive will stabilize, we don't -- we obviously don't know exactly, but we are encouraged by the recent activity. And Ana, if you want to add anything?
Ana Radic: Yeah, and in terms of profit, our rollover exposure is pretty limited. It's about 300,000 square feet next year. And 32% of those expiries, we've completed and another 24 are government tenants that we know are going to renew. So there may be some further negative absorption through the year. But I think it will be less than we've seen through 2021, and it's just going to depend on how much of the new leasing activity picks up, which I'm hopeful it will.
Tal Woolley: Okay. Lastly, I'm wondering if you can give some color on what management's thinking is and what the Board's thinking it's been around that distribution. Obviously, I think inflation rising and these stocks often, probably the bond proxy, might have some shareholders here may be looking for more going forward. What's the current thinking around that?
Mario Barrafato: Sure. I'll take that one. We really like where our business is today. The last couple of years, we've had growth and really reinvested into leverage reduction, improving the quality asset, buying some development plans and investing in development spending, and so we felt that that was kind of a priority. I think for 2022, you can see a lot of value initiatives come out. You may not see it in the cash flow right away because, as Rael said, we were at our net disposition. So we have to deploy some capital, to be leveraged neutral, the industrial vacates. We've got some developments that need to stabilize. But I think all the seeds are planted, and I think we've solved a lot of trouble areas having maybe in a position to start talking about it again because you're right. I think our investors have been patient and I think with inflation, it'll be expected and I think we'll be in a position, once all the seeds that we've talked about today to fruition, you'll see them in cash flow and that will be able to fund it. So it's something we will be talking about now. We haven't talked about for three years.
Tal Woolley: Okay. That's great. Thanks, everybody.
Operator:  Your next question is from Pammi Bir with RBC Capital Markets.
Pammi Bir: Good morning. Just -- I wanted to clarify maybe the comments on the value recognition of development. Is the intention to record additional gains as projects are rezoned? And then secondly, any visibility you can share perhaps on the amount of square footage that could get approved over the next call at one to two years?
Mario Barrafato: Yeah. I will take the first one. It's really -- development recognition is really a new area. And I think it's evolving and it's becoming more high profile as more companies are developing. We had our own framework where we -- given the rigor with auditors, audit committee, and we like to make sure that there's some third-party validation in what we do and so we don't necessarily wait for that. There is a zoning, but a high probability of it. And so we may  with the last thing we want to do is start accounting for this in the public space through our financial statements based on internal probabilities. So that being said, I think what you're seeing now is you're seeing people carry projects under books. But then there's -- they're transacting at higher rates. And I think that's what's leading, maybe some other reads and the industry to go more to what is that market perspective of something as opposed to there being third-party validation. And so right now, we tend to go with this milestone approach. And especially when you get larger scale projects they're all unique, they're complex, it really gets complicated. So I think it's really -- there's a build attitude. We've just taken a more conservative approach, but I think we are positive in a lot of developments that are undergoing and we just haven't hit certain milestones but there is value there. I think it's going to evolve and it's going to be little different. And you saw in the last couple of releases, everybody's taken their own perspective as to how they value their developments.
Rael Diamond: And I think just on visibility, we're obviously hopeful that we can get some of the industrial-zoned later this year. So obviously the large parts of land in Caledon is significant and then on the residential side and likely some of Golden mall and potentially gradual growth now, we should be able to achieve zoning later this year.
Pammi Bir: Got it. Okay. Just -- you mentioned some of the transition of agency this year and maybe it's still a bit too early, but when you look at the 2023 maturity grades, are there any larger ones that maybe give you some concern at all -- or in expense of renewals, or perhaps -- or any that perhaps might offset some of that or get the return to call it 2% plus organic growth in 2023?
Rael Diamond: In 2023, we start having a lot more renewals. It's very hard to get that 2% plus. And as you know, in all likelihood, the leases are capped at 2%, for growth. But our thought of Loblaw, there's nothing that concerns us. And on the industrial side, as Ana mentioned, we should get significantly higher than the 2%.
Pammi Bir: Okay. Last one for me, just again, nice to see some of these pretty strong spreads in industrial, particularly GTA on the other thing. When you look at the industrial portfolio as a whole, where do you estimate the in-place rents are relative to the market?
Rael Diamond: And probably we don't have that handy. I thought of -- probably our brand is more similar to markets. We're as outside of Alberta, significantly -- our in-place rents are significantly below market, but I don't think we have that exact number. I don't know if Ana has got more color.
Ana Radic: Well, I would say in Ontario specifically, our in-place rent is at least 50% to 80% below market. It's at $7 -- under $7.50 a square foot. So that's significantly below where we're doing deals right now, which is always in the double-digits and lately $12 a square foot typically. And that's where we have our biggest opportunity.
Pammi Bir: Great. I will work through that. Thanks.
Operator: And there are no more questions at this time.
Rael Diamond: Thank you, everyone, for joining today's call. Please do all that you can to stay healthy and safe. And for those celebrating Family Day on Monday, I hope you have a good long weekend.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.